Operator: Good day, everyone, and welcome to the AMG Earnings Q3 2022 Conference Call. Today's call is being recorded.  And now I'd like to turn the call over to Michele Fischer. Please go ahead.
Michele Fischer: Welcome to AMG's Third Quarter 2022 Earnings Call. Joining me on this call are Dr. Heinz Schimmelbusch, the Chairman of the Management Board and Chief Executive Officer; Mr. Jackson Dunckel, the Chief Financial Officer; and Mr. Eric Jackson, the Chief Operating Officer.  AMG's third quarter 2022 earnings press release issued yesterday is on AMG's website. Today's call will begin with a review of the third quarter 2022 business highlights by Dr. Schimmelbusch. Mr. Dunckel will comment on AMG's financial results, and Mr. Jackson will discuss operations. At the completion of Mr. Jackson's remarks, Dr. Schimmelbusch will comment on strategy and outlook. We will then open the call to take your questions.  Before I pass the call to Dr. Schimmelbusch, I would like to comment on forward-looking statements. This conference call could contain forward-looking statements about AMG, Advanced Metallurgical Group. The forward-looking statements are not historical facts but may include statements concerning AMG's plans, expectations, future revenues or performance, financing needs, plans and intentions relating to acquisitions, AMG's competitive strengths and weaknesses, reserves, financial position and future operations and development, AMG's business strategy and the trends AMG anticipates in the industries and the political and legal environment in which operates and other similar or different information that is not historical information.  When used in this conference call, the words expects, believe, anticipates, plans, may, will, should and similar expressions and the negatives thereof are intended to identify forward-looking statements. By their very nature, forward-looking statements involve inherent risks and uncertainties, both general and specific, and risks exist that any predictions, forecasts or similar projections contained by such forward-looking statements will not be achieved.  These forward-looking statements speak only as of the date of this conference call. AMG expressly disclaims any obligation or undertaking to release publicly any updates or revisions to any forward-looking statements contained herein to reflect any change in AMG's expectations with regard thereto or any changes in events, conditions or circumstances on which any forward-looking statement is based.  I will now pass the call to Dr. Schimmelbusch, AMG's Chairman of the Management Board and Chief Executive Officer.
Heinz Schimmelbusch: Thank you, Michele. AMG generated its largest quarterly EBITDA to-date in the third quarter of '22. EBITDA was $103 million, 26% higher than the previous record setting quarterly EBITDA of $81 million in the second quarter of '22. This outstanding result was largely driven by AMG Lithium. The continued strength in both lithium demand and our low-cost position led to improved profitability in AMG Lithium in Brazil.  The mission of AMG Lithium is to be the #1 producer of electrical vehicle battery materials in Europe by expanding production of battery-grade hydroxide and by vertically integrating its Brazilian spodumene production and pursuing further mineral resource sourcings.  AMG has consolidated its lithium value chain under one legal entity and is currently aligning its lithium management and governance structures to further increase the long-term value of its lithium activities. Accordingly, we are preparing a resegmentation of AMG to be approved by the Supervisory Board in December and become effective on January 1, '23.  The new vanadium spent catalyst recycling facility in Zanesville, Ohio, which started operating October 29, '22, is a clear manifestation of AMG's industry leadership in the recycling of hazardous refinery waste globally. We are extremely pleased about the successful startup of both the roaster and the melt shop, and we expect to ramp up to full production which will take between 3 to 4 months.  SARBV, the Shell AMG Recycling joint venture. UCI continue -- together with UCI, United Company of Industries in Saudi Arabia, continues to advance the first project of the so-called Supercenter in conjunction with Aramco. Plant design, optimization, site selection and permitting activities are progressing. And the FEL3 partnering with Hatch is expected to begin later this month. The SARBV-UCI-Aramco Consortium are also developing a pipeline for projects, which will conclude with the deployment of AMG's LIVA hybrid energy storage system technology. AMG's innovative lever battery for industrial power management applications has successfully started up at our plant in , Germany, paving the way for several other projects under development.  I would now like to pass the floor to Jackson Dunckel AMG's Chief Financial Officer. Jackson?
Jackson Dunckel: Thank you, Heinz. I'll be referring to the third quarter 2022 investor presentation posted yesterday on our website. Starting on Page 3, this shows an overview of the financial highlights of the quarter. Revenue for the quarter increased by 36% to $425 million. This increase was mainly driven by the improved price environment relative to Q3 '21, which led to higher sales prices across all 3 of our segments, particularly AMG Clean Energy Materials.  Q3 2022 EBITDA was $103 million, a 210% increase versus the prior year. As you can see in the lower left corner, AMG continues to sequentially increase EBITDA each quarter, which we have done since the second quarter of 2020. Net income to shareholders increased substantially to $68 million, yielding $2.09 of diluted earnings per share compared to a $0.02 diluted loss per share in Q3 '21.  Now I'm going to turn to a review of our 2 segments. Let's start with AMG Clean Energy Materials, which is shown on Page 4 of our presentation. On the top left, you can see that Q3 '22 revenue increased 79% versus Q3 '21 from $105 million to $188 million. This increase was mainly driven by higher prices in vanadium, tantalum and lithium concentrates as well as increased sales volumes of lithium concentrate.  Sales volumes of spodumene were up due to shipping schedule variances from AMG Brazil. This increase in Q3 '22 includes a catch-up from the second quarter as well as additional volumes that shipped in the third quarter that were planned for the fourth quarter. Gross profit before nonrecurring items increased 304% compared to Q3 '21, mostly due to the improved price environment. Likewise, Q3 '22 EBITDA increased more than fourfold from $18 million to $84 million.  Clean Energy Materials is the segment, which is, and will continue receiving the most capital investment within AMG. And the quarterly CapEx shown on the bottom left of $50 million mainly reflects our investment into the Zanesville vanadium facility, but also the investment into a battery-grade lithium hydroxide plant in Bitterfeld, Germany, and the expansion of our spodumene capacity in Brazil.  Turning now to Page 5 of our presentation, which shows AMG Critical Minerals. AMG Critical Minerals revenue increased 7% to $85 million compared to Q3 '21, driven by higher sales prices across the segment's portfolio. Gross profit before nonrecurring items of $12 million was 13% higher than in Q3 '21. The higher gross profit was due to the improved pricing and was partially offset by increased raw material prices as well as the ongoing rise in energy and shipping costs.  EBITDA during the quarter was up 13% compared to Q3 '21 despite ongoing inflationary pressures. In terms of sequential development versus Q2 2022, Critical Minerals gross profit and EBITDA each decreased $1.8 million. This is partly due to seasonality. August is a very slow month for our European businesses and is also partly due to lower prices in antimony.  As announced, AMG will place its silicon metal plant in Germany on care and maintenance effective January 1, 2023. The overall EBITDA effect should there be a shutdown longer than 1 quarter is immaterial to AMG's overall projected 2023 results. Associated with this shutdown, AMG recorded income from the sale of an existing supply contract. This income was offset by a settlement with a major customer, resulting in a net contract settlement benefit of $46 million. This net benefit was further offset by an impairment of existing assets of $11 million. All of these items were excluded from EBITDA.  The net future proceeds are also available to offset potential restructuring expenses in the future. The costs associated with retaining current employees for care and maintenance will be recorded as incurred in accordance with accounting standards.  Moving on to AMG Critical Materials Technologies on Page 6. Starting on the top left, you can see that Q3 2022 revenue increased by $24 million or 19% versus Q3 '21. This improvement was due to higher sales volumes of titanium alloys and higher titanium alloy and chrome metal pricing. As a result, Q3 '22 gross profit before nonrecurring items increased by 23% to $25 million. This increase drove AMG Critical Materials Technologies Q3 EBITDA to $12 million compared to $9 million in Q3 of last year.  In terms of sequential development, Q3 2022 gross profit and EBITDA were lower than Q2 2022 by $2.4 million and $2.2 million, respectively. Again, August is a slow month for our European businesses. So part of this decrease is seasonal, but performance was also affected by weakening chrome pricing.  AMG Engineering signed $93 million in new orders during the third quarter of 2022, driven by strong orders of remelting, induction and heat treatment furnaces, representing a 1.73x book-to-bill ratio. As everyone knows, order intake is a leading indicator for the future financial performance of this segment. Order backlog was $211 million as of September 30, 2022, 17% higher than the $181 million as of June 30, 2022.  Turning now to Page 7 of the presentation. On the top left, you can see that AMG's Q3 2022 SG&A expenses were $37 million versus $34 million in Q3 '21. This variance was driven largely by higher compensation expense due to improved profitability forecasted for the year and increased professional fees associated with our strategic projects.  AMG Q3 '22 net finance costs were $14 million compared to $8 million in Q3 '21. This increase was driven by a $6 million foreign exchange loss which in turn was driven by a noncash intergroup related foreign exchange loss. AMG capitalized $2 million of interest costs in Q3 '22 versus $4 million in Q3 '21, driven by the interest associated with the company's tax-exempt municipal bonds supporting the vanadium expansion in Ohio. This decrease is due to a portion of the municipal bond interest costs, which are no longer being capitalized due to the ramp-up of production at our Zanesville facility.  AMG recorded an income tax expense of $39 million in the third quarter of '22 compared to $10 million in Q3 '21. This variance was mainly driven by improved financial performance and movements in the Brazilian real. The effects of the Brazilian real caused a $2 million deferred tax benefit in the third quarter of $22 million compared to an $8 million tax expense in Q3 '21. Movements in the Brazilian real exchange rate impacts the valuation of the company's net deferred tax positions related to our operations in Brazil. AMG paid taxes of -- paid taxes of $10 million in Q3 '22 compared to $4 million in Q3 '21.  Turning to Page 8 of the presentation. You can see on the top left that cash from operating activities was $75 million in the third quarter of '22 compared to $18 million in the same period in '21. This increase in operating cash flow was due to higher profitability and continued focus on maintaining low working capital levels despite a rising price environment.  AMG's return on capital employed for the first 9 months of '22 was 29.5%, more than double the 10.4% achieved in the first 9 months of '21 due to substantially higher profitability as of September 30, 2022. AMG ended the quarter with $368 million of net debt with the increase versus year-end due to the significant investment in growth initiatives.  In this raising rate environment, it is important to reiterate that a majority of the company's outstanding debt facilities are either fixed rate facilities or fixed due to interest rate swaps for the next several years. As such, AMG has an average interest charge across its 2 main debt instruments of 5%. Our advantageous long-term fixed borrowing, combined with substantial operating cash flow generation, is a key competitive advantage. AMG's low-cost interest rates allow the company to continue to invest in transformational strategic projects while maintaining a strong balance sheet.  I would also like to note our current equity attributable to shareholders has increased 56% to $418 million since year-end '21, another key sign of our balance sheet strength. As of September 30, 2022, AMG had $306 million of unrestricted cash and total liquidity of $489 million.  On Page 14 in the appendix, you can see the development of the spot lithium carbonate price versus the spot spodumene price. I would like to remind everyone that we have a 3- to 4-month revenue recognition lag in our contracts, so Q2 '22 pricing was realized in Q3 '22. I would also like to remind everyone that our price is tied to the Asian metal market spot lithium carbonate price and not to the spodumene price. As you can see on Page 12 -- excuse me, Page 14 -- excuse me, on Page 12, the spot price of battery grade lithium carbonate is now over $78,000, up 10% from the average price during Q3 '22.  That concludes my remarks. Eric?
Eric Jackson: Thank you, Jackson. AMG's operations continued to perform exceptionally well during the third quarter of 2022, especially in the context of a volatile and challenging global market. Market prices for many of our products weakened sequentially during the third quarter. A representative example is ferrovanadium, where the average index price in North America fell from $30.50 in the second quarter '22 to $23.07 in the third quarter. Today's spot price is $19.20. However, prices in Europe and China, which led the global weakness have stabilized and, in fact, increased slightly in the latest reporting period.  We do benefit, however, from being the environmental and technological leader and/or cost -- low-cost producer in most, if not all of our businesses, and we're very cognizant of price risk management. That brings me to AMG Vanadium. Our spent catalyst processing expansion of Zanesville, Ohio started operations on October 29 and has produced its first full run from spent catalyst to commercial-grade ferrovanadium. We expect that ramp-up to full capacity will take 3 to 4 months. We'll manage this appropriately also in the context of the overall market. Therefore, our 2023 production volumes will be somewhat back-end weighted.  The notable exception to this general price weakness is lithium, where the accelerating global transition to electric vehicles is driving strong demand and higher pricing for reliable, high-quality lithium units. Our spodumene production in Brazil continues to operate at full capacity. We believe that net of co-product credits, we are very near the bottom end of the global spodumene cost curves. Additionally, our SP1+ project to increase spodumene production from 90,000 tonnes per annum to 130,000 tonnes per annum is proceeding on schedule and we fully expect to be operational at the 130,000 tonne level in the second half of 2023.  AMG Lithium's battery-grade lithium hydroxide refinery in Germany is under construction and commissioning of the first 20,000-tonne module will start in the fourth quarter of '23. We have negotiated a strategic tolling contract for our own spodumene production as well as third-party spodumene sources to produce and supply technical grade hydroxide to our refinery in Bitterfeld, Germany.  Elevated energy costs, especially in Europe, led to significant increases in gas and electricity costs in the quarter for our Critical Minerals segment, with total energy costs being $5 million higher than in the third quarter of '21. In most cases, we were able to pass these price increases on to our customers. However, as announced effective January 1, 2023, AMG will place its silicon metal plant in Germany on care and maintenance due to high power prices. We will review this decision on a quarterly basis. The overall impact, as Jackson mentioned is not material to AMG's projected '23 results.  I also want to comment on our aerospace-related activities as we see continued improvement. AMG Engineering had very strong order intake in the third quarter, which has continued into the early days of the fourth quarter. And our aerospace-related titanium materials business is seeing significantly increased order flow for the full year '23. This is also partly driven by our strategic decision to purchase a production facility for titanium alloys in Newcastle, Pennsylvania a few years ago.  We continue to focus on safety, operational improvements, risk management and delivering our strategic projects on time and on budget and the overriding objective to be -- with the overriding objectives to be the low cost and most environmentally responsible producer in all of our businesses.  I will now pass the floor to Dr. Heinz Schimmelbusch, AMG's Chief Executive Officer.
Heinz Schimmelbusch: Thank you, Eric. Before I come to the outlook for '22 and '23, let me describe our current strategic positioning from the perspective of recent years. Prior to COVID, it was apparent that 2 outstanding market opportunities had emerged among AMG's portfolio in critical materials and related technologies. One, growing our position in the booming aerospace engine market, with its need for game-changing technologies designed to deliver a superior CO2 efficiency profile. Here, AMG's strategic position was enhanced by its market-leading technologies in turbine blade coatings and in specialty alloys with superior strength and weight ratios.  To capitalize -- two, capitalizing on a clear first-mover advantage in the emerging market for electricity storage systems with a twofold growth strategy. First, exploiting and expanding AMG's resource position in lithium; and second, expanding our market-leading vanadium recycling technology in North America and globally.  Given the multiple growth platforms within AMG, we decided the best path forward was to take our aerospace engine activities public and invest heavily into lithium and vanadium. COVID interrupted the aerospace separation, but we continued our focus on energy storage in a newly formed segment called Clean Energy Materials. In addition, I should note that the increased order intake at AMG Engineering is a key leading indicator that the aerospace engine market for our products is now returning to its pre-COVID dynamics.  The strategic target in vanadium was to cement our position as the world's largest recycler of vanadium containing refinery waste by building a second $325 million recycling facility in Ohio. The construction of our Zanesville spent catalyst recycling plant established a truly closed loop circular economy for the sector in North America and beyond. This investment attracted channel catalysts and technologies. The world's premier producer of fresh refinery catalysts, and we formed Shell AMG recycled B.V. to address the global market for circular refinery catalyst solutions. The Aramco joint venture in Saudi Arabia, known as Supercenter, is a result of our cooperation with Shell.  The strategic target in lithium was twofold. First, the extraction of lithium in addition to tantalum at the Mibra mine in Brazil, both from lithium tailings and from fresh ore. And second, the construction of an electric vehicle battery materials value chain in Europe. We started to build this value chain by first hiring a superior team of lithium industry experts.  Next, we began building a modularized battery-grade lithium hydroxide plant located nearby the cluster of battery cell giga factories in Eastern Europe. Now we are continuing to build out our value chain by simultaneously developing additional lithium resource projects based on our technical mining and conversion expertise and at the same time, building additional hydroxide refinery modules in Germany.  Importantly, as I noted at the outset, both strategic initiatives in the global vanadium and lithium industries are expected to benefit from first-mover advantages, which will accrue significant strategic benefits as we move forward. Given the strong performance to date and the visibility into year-end, AMG is increasing its EBITDA guidance for the full year of '22 to $320 million or higher from the previous range of between $280 million to $300 million.  Important parameters for '23 guidance are, first and foremost, the startup of the expanded production of our lithium concentrate in Brazil in the second half of '23, the market conditions, primarily in lithium and the ramp-up of the Zanesville refinery to full production. In view of these, AMG's EBITDA guidance for '23 is to exceed $400 million. It is important to note that since the increase of spodumene production will occur in the later half of the year, 2023 EBITDA development will be somewhat back-ended.  Let me remind everyone to the guidance we gave at the 2019 AGM, namely that AMG and "AMG expects to deliver an EBITDA level of $350 million or more in 5 years or less." With our new guidance, we are significantly exceeding this 5-year commitment.  Operator, we would now like to open the line for questions.
Operator: And it appears there are no questions at this time. I'll turn the call back over to our presenters for any additional or closing comments.
Heinz Schimmelbusch: Well, since there are no questions, it might be that we have answered all the questions by presenting our various few points on financials and operations and on outlook.
Operator: And we just had a few questions queue up if we can take those?
Heinz Schimmelbusch: Very welcome.
Operator: Okay. So we'll first hear from Olivier Ken of Quaero.
Olivier Ken: Yes. The question is -- so if I understand, well, you increased your -- the 5-years commitment in terms of EBITDA but I need the number.
Heinz Schimmelbusch: Well, our commitment is -- our guidance for 2023 is $400 million or higher. And I just reminded you that 5 years ago, we gave a commitment and we exceeded that commitment. We added that sentence because it increases our credibility of long-term commitments.
Olivier Ken: Okay. A quick follow-up, if I may. So coming back to the Berlin plant and to the German plant for. So you -- for next year, you contract spodumene. I mean, going forward, with the increase in the Brazil -- with the start of the hydroxide production in Brazil. If we take, let's say, 2 years view, would you be self-sufficient in terms of IoT?
Heinz Schimmelbusch: Well, essentially, with flexibility around the peripheries of the statement, we are -- we are heading to -- the destination is to be a self-sufficient value chain starting in Brazil and ending at the Bitterfeld battery-grade hydroxide facility in Germany module 1. That's the start -- well, we -- as I said the commission -- we start the commissioning of that plant in '23 second half.  Now that is the beginning and then the strategy involves the development using our technical expertise and certain other skills and long-term contract capabilities to develop additional resources projects, which is underway in order to feed additional modules in Germany. So that is sort of interrelated. Left -- on the left, resource projects and on the right, additional modules. And that seems to be a very efficient model because the response to our activities in assisting resource projects seems to be welcome in many ways. So that's the strategy.  Now the strategy takes a detour, of course, because our vertical integration, building a carbonate plant in Brazil, turning spodumene into carbonate at the mine site will take time. And the commissioning of the plant in Germany will receive that. So therefore, we will -- we have arranged for conversion agreements, which turned the spodumene of Brazil into upgraded products such as technical grade hydroxide and delivering those upgraded products to feed the first module in Germany.
Olivier Ken: Okay. Very clear. May I ask a last question, sorry?
Heinz Schimmelbusch: Sure.
Olivier Ken: Yes. So since -- okay. So the German factory will start next year. But since -- I mean, since that -- now we've got the higher end in the U.S. So I'm just wondering, especially as you produce spodumene and you're going to produce hydroxide in Brazil, would it make sense to think about building capacity in the U.S. benefiting from any funding in the U.S.?
Heinz Schimmelbusch: If I understand you correctly, you asked whether it would make sense to build a hydroxide facility in the U.S., is that your question?
Olivier Ken: Yes...
Jackson Dunckel: It's important, because of inflation...
Olivier Ken: In terms of...
Heinz Schimmelbusch: As Elon Musk has announced a facility, a battery-grade hydroxide facility in, I think, Texas recently, which seems to be the same strategy. He wants to be apparently the first mover of battery-grade hydroxide refineries in the U.S. as we are. We actually use the same language when we announced our hydroxide battery grade facility in Europe 2 years ago. So since he announced that and since our appetite to compete with Mr. Musk is limited, we presently don't have an active project but never say never.
Operator: Next, we'll go to Stijn Demeester of ING.
Stijn Demeester: Yes. Three, if I may, and I'll ask them one by one, if that's okay. First one is, on the realized spodumene price in Q3 in relation to spot market prices of close to $5,000 per metric ton, can you comment on sort of where your realized prices versus the market prices? And are there initiatives underway to potentially renegotiate pricing agreements with your offtakers to bring realized price closer to the market price? Or are you just happy with the current range? That's my first question.
Heinz Schimmelbusch: Well, we have long-term contracts. Our prices are indexed as has been explained by Mr. Dunckel. And we are very satisfied with our buy formulas also in relation to the present market.
Stijn Demeester: Okay. Understood. Secondly, on the tolling agreement for a lithium hydroxide facility. How should I understand this? Is it -- is your counterparty charging a fixed fee for processing your own and third-party concentrate into technical grade carbonate? Or is it more a variable pricing mechanism based on the market price? And how should we see the order of magnitude of that tolling fee?
Heinz Schimmelbusch: Our terms, of course are subject to nondisclosure agreements. And so I have to be very careful. And even if I didn't have nondisclosure agreements, I would be hesitant to issue to the market how we do business via investor conferences or analyst conferences. But let me mention that the lithium industry is characterized by a myriad of contracts where resource owners and producers of primary products convert their products into upgraded products such as technical hydroxide and battery grade hydroxide, and then it goes on to conversions into battery grade materials hydroxide and then it goes on to the cathode producers.  So we have, like everybody else, a cascade of conversions, which are linked by conversion agreements on each step. And fortunately, those -- since the whole industry is working that way, there are many references, where you -- when you negotiate these conversion terms, you can refer to market prices. And the whole thing is dominated by a relationship to index, to the index. We are not -- we are hesitant or never do sell at fixed prices. We want to be in the market on all sides related to indexes. And finally -- my final remark is in this value chain, where we are doing our conversion structures, everybody is winning.
Stijn Demeester: Yes, understood. The reason I'm asking is that as we're moving closer to commissioning of the first hydroxide module, you've never really given guidance to the market on what the profitability of Module 1 could sort of entail. So -- yes, sort of how should we think of normalized profitability of Module 1, for example, for a year of full production in 2024?
Heinz Schimmelbusch: I'm gladly giving that question to the Chief Financial Officer.
Stijn Demeester: He will be very happy.
Jackson Dunckel: Yes. No, very happy. So as we've discussed in the past, it is an upgrader plant, right? And so effectively ignoring the backwards integration that Dr. Schimmelbusch has just been discussing on a -- on a normalized basis, we're able to go out and buy technical grade hydroxide and sell it as battery-grade hydroxide and enjoy the spread. That spread varies over time.  So at its low, it's $3,000. Currently, it's more than $10,000, which gives you an extraordinarily wide range of potential EBITDA from $60 million to $200 million. So unfortunately, I have to leave you with that. It will really depend upon the structure of our backwards integration and the market at the time. But the important part is that spread always exists. The plant will always be profitable. It's just a question of how profitable.
Stijn Demeester: Understood. That's very helpful. Final question, if I may. That's on the guidance for '23, $400 million or more. I know that you typically are conservative at this stage. But can I have a jab at the level of conservatism you're assuming with regards to lithium prices. Would your assumption for '23 be up, flat or down versus '22 averages?
Heinz Schimmelbusch: I lost you. What was the question?
Stijn Demeester: So on the '23 assumption on lithium prices baked into $400 million lower threshold, with your assumption on the lithium price for '23 be up, down or flat versus the average price that you realized in 2022?
Heinz Schimmelbusch: Well we are conservative people. But as I have explained enumerable times, I really don't like guidance statements. And -- so we're doing very careful planning. And of course, we restrict our optimism in such planning. And we are safe. So the idea to increase prices in guidance statements is a bad idea. So the question is how do we assess the market? And there are many, many conversations preceding that, asking other industry participants, which are our customers and our conversion partners, their views and so on.  And then we always -- in all what we are doing, we sort of try to have a little bit of a contingency somewhere. That's the difference from you to me. Because you have a model, and I would think that it's -- you don't have a contingency. It's a model. But we are practical. We also have a model, but we -- our model contains always in every way, not in prices alone, but also in quantities and unforeseen events we have, and that's why we are able to do a guidance.
Operator: Next, we'll hear from Martijn den Drijver of ABN AMRO.
Martijn den Drijver: Yes. I want to come back to the tolling agreements, if you allow me. Would it be possible for you to say how many trains you could cover -- modules you could cover with the existing tolling agreement currently in place? Just to give us a bit of a sense, is it 1 train, 2 trains or even more than that? That would be question one.
Heinz Schimmelbusch: I would say 1 plus.
Martijn den Drijver: And what does 1 plus mean, more than 1?
Heinz Schimmelbusch: No, it means that it's not 2. It's not 2. It's a little more than 1. Comfortably 1.
Martijn den Drijver: Okay. You also mentioned that you're looking for third-party spodumene because the tolling agreements will or could also taking into account third-party spodumene. How near are you to sourcing such third-party partner? Is that something you are...
Heinz Schimmelbusch: We are constantly in the market for various aspects in order to sharpen our awareness of availabilities of opportunities and -- so that's normal for companies like us that we are testing markets. But there is not -- there is no large-scale contract to be reported. It's a testing activity.
Martijn den Drijver: Okay. And when we think about these types of activities or developments, it will be more in Latin America, meaning it's...
Heinz Schimmelbusch: Globally. No, it's globally.
Martijn den Drijver: Globally, okay. Then with regards to the German lithium hydroxide plant. You've given us in the past updates on what level of capacity has been sold, for lack of a better word, via MOUs or even offtake agreements. Can you update us on Train 1 and perhaps Train 2? And with regards to Train 2, will that be technical grade coming out of the refinery -- the processing industry, so China basically? Or will that also include the possibility to handle recycled material?
Heinz Schimmelbusch: Well, the last, first. Of course, most of the recycling technologies and there are innumerable recycling technologies under development. And the very fragmented market of the recycling industry hasn't yet stabilized and we are very cautious in involving ourselves in that market as recycler, although we are normally very, very keen on circular economy, but we need to see where this is going. But most of these technologies lead to certain materials, which need a refinery at the end, so it will be automatically increasing our optionality as regard to feeding modules. So that's number one.  We announced a first agreement with a Korean cathode -- leading -- world-leading Korean cathode producer legally binding -- so our first legally binding sales contract of 5,000 tonnes or more. And that is in conjunction with several MOUs which are arrangements of a lesser degree of legally binding nature. If I add all those up, I think the Module 1 is taken care and we are thinking about to make an affirmative structure here moving towards the commissioning of the plant, then the qualification process is starting as the industry operates.  And it is -- we have a variety of conversations with large buyers of battery-grade hydroxide for Module 2. We also have conversations about assigning a Module to one particular large buyer, which is very logical because one of the key aspects, everybody knows, but let me say, despite everybody knows it, the operational vicinity between a cathode producer and producer of hydroxide battery grade is a key element of success of cost reduction and quality optimization between those 2 plants. I don't mean operational vicinity only in a sense of geography, I mean, also in the sense of technology interchange. So that is an ongoing development in a very broad way as we have a very large technical team and central laboratories in Frankfurt at which locations those conversations take place.
Martijn den Drijver: Clear, clear. Moving on. With regards to Cambridge 2, this is a question for Mr. Jackson. There's a bit of a delay, it seems in the full contributions from Cambridge 2. What specifically has caused that? And did it have -- or does it have an impact on the assumed EBITDA contributions, which you mentioned in an earlier call which were around $40 million to $50 million in EBITDA?
Eric Jackson: There hasn't been a delay in the Cambridge investment. It's actually right on financial plan on cost which is actually very surprising, I think, in the environment we've been through for the last few years. And there's naturally a start-up period. I believe what I've said in the past is we hope to be to be able to operate at full capacity by year-end and won't be too far off of that in my opinion.
Martijn den Drijver: And with regards to the EBITDA expectation for...
Eric Jackson: Our EBITDA, I mean, this business has been historically exceptionally profitable for us. And there is some volatility vanadium prices, I mentioned that. But processing fees continue to go up dramatically. So I think as we come out in the next number of quarters, we'll be giving a little more guidance on those numbers.
Martijn den Drijver: Okay. So the $40 million to $50 million was -- is now a relatively conservative estimate. Do I read that right, given the processing fees are going up?
Heinz Schimmelbusch: We don't disagree. But always remember what Mr. Jackson said is very important. It's the fees because recycling activities have -- in this particular case has 4 cash flow sources, vanadium, molybdenum, nickel and, of course, fees. And it's the reverse order as regard to order of magnitude.
Martijn den Drijver: Got it. And then my final question is on the sale of that supply chain contract in Critical Minerals. Did you get the cash in already in Q3? Or will you receive that over time?
Heinz Schimmelbusch: Yes. Go ahead.
Jackson Dunckel: No. As we clearly said in the statement, we received a net income benefit, but those future net proceeds will be available to cover any increased costs. So we will be getting it over time. .
Martijn den Drijver: And what type of time frame should we be thinking of?
Jackson Dunckel: 1 year.
Martijn den Drijver: 1 year. And since it's a net amount that you used in the press release, what is the actual cash amount that you're getting here in, ignoring...
Jackson Dunckel: I can't disclose that, obviously. I can't disclose that because it's subject to a nondisclosure agreement with our major customer.
Operator: Next, we'll hear from Oliver Grewcock of Berenberg.
Oliver Grewcock: Just two from me, please. What ramp-up time line should we expect for the first hydroxide module? And under the re-segmentation consolidation of AMG Lithium, do you think you'll provide more granular operational financial details for the lithium business at all, please?
Heinz Schimmelbusch: Typically, hydroxide facilities of that nature have a ramp-up period, which consists of qualifications and back and forth with the cathode customer of 3 to 6 months. I would assume that this is 6 months, if you do a model.
Jackson Dunckel: And then in terms of future disclosure, that is precisely what we're debating as we speak. We understand the disclosures that are available for other mining operations, and we're going to take all of that into consideration. It's safe to say there will be more disclosure, but exactly what that disclosure will be is yet to be finalized.
Operator: Next we hear from Alan Spence of Jefferies.
Alan Spence: I've got a few for Jackson and I'll take them one at a time. In terms of the projects that will be commissioned next year, do you see any risk in terms of CapEx increase just given the broader inflation we've seen in the market? Or are you happy with the contingencies built in those budgets and the nature of the contracts?
Jackson Dunckel: We're actually pretty happy. So we did experience as we were out finalizing in Bitterfeld and in Brazil, we did experience higher costs, but those have been more or less locked down. So...
Heinz Schimmelbusch: I mean the biggest statement as a response here is that the largest project ever built in AMG, namely Zanesville, or sometimes in this conversation referred to as Cambridge 2, was planned at $325 million and came in at $325 million. .
Alan Spence: Yes. Got it. The higher sales volumes benefiting Clean Energy Materials, was that a material impact at the EBITDA level? Do you have a rough estimate of what that contributed?
Jackson Dunckel: It was a material impact. But unfortunately, the sales volumes go back and forth quite a bit. It depends on the shipping schedule and we don't realize the revenue until the ship lands. And so the ship could land on October 1 or could land on September 30, and that creates quite a bit of volatility. And as we said, for the third quarter, we had both delayed from Q2 shipments and advance from Q4 shipments. But quantifying it is difficult to do.
Alan Spence: Okay. And then just the last one for me, just on working capital. The increase in Q3, do you have a sense how much of that was price as opposed to volume driven? And moving into the fourth quarter, at least from a seasonal perspective, should we be thinking about a release? Or do you think there's a better investment?
Jackson Dunckel: So price volume, both were mixed. So it's hard to kind of pick that apart. And fourth quarter, we would not expect a release.
Operator: Our next question comes from Philip Ngotho of Tower.
Philip Ngotho: It's Philip Ngotho of Mint Tower. I just have one last question and it's related to the lithium business. There's a lot of market commentary that points to the fact that you trade at a significant discount to peers and in particular, lithium peers. And I guess this new segmentation in combination with potential additional disclosures is a good first step to potentially capitalize the value of the business there. But I was wondering a bit more longer term, to what extent do you believe the lithium business should still be part of a larger materials portfolio as it is now within AMG? Or is there a case for the lithium business to really be more stand-alone or a potential spin-off given that we have seen some also IPOs in the lithium space recently?
Heinz Schimmelbusch: Let me answer these facts. We have, in Q3, over 70% of the EBITDA comes from lithium. And I remind you that is the same order of magnitude that Albermale. Albermale however, has been listed as a lithium company. It's just something to note. Secondly, we have been now grouping all our lithium assets of the whole lithium value chain, whatever is lithium in AMG is now operating in a corporate roof called AMG Lithium, B.V. in Amsterdam. That includes a full management team and a corporate governance structure, which formally -- which is operating right now, but formally will be operating beginning of the year. And that management structure is a superior very presentable team.  Thirdly, starting January 1, as mentioned, we will report under a new segment structure, slightly adjusted segment structure. And this slight adjustment includes that this year will be visible as regard to its segmental results very clearly. Those steps increase the volatility -- no, the optionality in any direction...
Operator: Our next question comes from [indiscernible].
Unidentified Analyst: First question on the hydroxide facilities in Germany. Is it possible to speed up those investments that you bring them forward that they would be operational earlier than planned?
Heinz Schimmelbusch: That is a function of our success in identifying, developing and bringing on-stream additional resources because those investment decisions are, of course, guided by feed availability on a contractual basis. Otherwise, it would be unwise to build a refinery and be short. So we have extensive efforts to booking forward those developments. They are, as I said, extensive operations we have, not only an exploration team -- very effective exploration team, we have project development activities.  And as our successful project development in Brazil is very shiny, we can point to it, and we have a large team. We have over 30 engineers on standby in an engineering project development company in Brazil available for assisting project developments in other -- in resource developments, which need such an assistance. We are able to -- because of the module development and we are able to offer long-term contracts to projects, which need project financing, which need long-term contracts.  We are very happy to occasionally be able to be supported by the German government, which has a very elaborate facility to enable imports under long-term contracts for critical materials with favorable rate, long-term subordinated debt agreements. So all of this is happening. And depending on the success of that, we would -- we are ready to go to start a second module or a third module. It all depends on that development. And we are determined to be successful in this resource development. We believe we will.
Operator: And it appears there are no further questions at this time. I'll turn the call back over to our presenters for any additional or closing comments.
Michele Fischer: Thank you, everyone, for joining today's call. This concludes our Q3 earnings call.
Operator: That does conclude today's conference. Thank you all for your participation. You may now disconnect.